Operator: Greetings, and welcome to the Clean Harbors, Incorporated Fourth Quarter 2013 Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michael McDonald, Assistant General Counsel for Clean Harbors, Incorporated. Thank you. Mr. McDonald. You may now begin.
Michael McDonald: Thank you, Rob, and good morning, everyone. Thank you for joining us today. On the call with me are Chairman and Chief Executive Officer, Alan S. McKim; Vice Chairman, President and Chief Financial Officer, Jim Rutledge and our SVP of Investor Relations and Corporate Communications, Jim Buckley. This quarter we have posted some slides to Clean Harbors’ website that we will be reviewing during today’s call. These slides can be found on the Investor Relations section of our website. We invite you to take a moment to open the file and follow the presentation along with us. Matters we are discussing today that are not historical facts are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Participants are cautioned not to place undue reliance on these statements, which reflect management's opinions only as of this date, February 26, 2014. Information on potential factors and risks that could affect the company's actual results of operations is included in our filings with the SEC. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today's press release or this morning's call other than through SEC filings that will be made concerning this reporting period. In addition, I would like to remind you that today's discussion will include references to non-GAAP measures. Clean Harbors believes that such information provides an additional measurement and consistent historical comparison of its performance. A reconciliation of the non-GAAP measures to the most directly comparable GAAP measures is available in today's news release, which can be found on our website, cleanharbors.com as well as in the Appendix of today’s presentation. And now I'd like to turn the call over to our CEO, Alan McKim. Alan?
Alan McKim: Thanks, Michael, and good morning, everyone. Starting here on Slide 3, if you read through this morning’s news release you know that we are extremely disappointed with our Q4 results. While revenue and adjusted EBITDA, each increased by more than 50%, we expected to deliver an even higher level of profitable growth, but encountered several headwinds like in the quarter. When Jim and I spoke with you on our Q3 call in early November, the fourth quarter was off to a fast start. In fact, October saw the highest single monthly revenue in the company’s history. Over the subsequent weeks however, several factors caused use to miss our 2013 EBITDA guidance and let me summarize these briefly. Overall, we are hit with adverse due to adverse weather coupled with the timing of holidays in December. In our Industrial and Field Services segment, occupancy in our lodging business was off by over 10% as customers in the oil sands delayed some projects and we saw a drop in occupancy around the holidays. In Tech Services we saw a slowdown in some high-end waste streams late in the year. Historically, just the opposite occurs. Typically waste volumes surge at the final two weeks of the year as customers clear out inventory. The third factor was that base and blended products sales suddenly and rapidly dropped in mid-December. A number of customers and buyers in the spot market obviously were anticipating the January price decline which ultimately announced by Motiva and others in mid-January. Fourth, our oil and gas business, which experienced a surprisingly strong Q3 underperformed in the fourth quarter, a combination of program cancellations and reduced exploration budgets from our customers led to fewer land exploration opportunities. Finally Safety-Kleen branch business rebounded from a soft Q3 with a solid fourth quarter. If we turn to Slide 4, before discuss each of our segments in more detail, I thought it was important to look at our 2013 results in total and recap how we arrived, where we are today versus our expectations when the year began. The chart outlines our initial assumptions as we entered 2013, when we forecasted adjusted EBITDA in the range of $605 million to $620 million. The slide walks through how we got from point A to point B. We closed 2012 with approximately $375 million of adjusted EBITDA. To that amount, we expected to add approximately $15 million from tuck-in acquisitions that were made in 2012 but not fully realized. A $188 million was added from Safety-Kleen including about $30 million in synergies that we have anticipated as part of that acquisition. Ruth Lake which was originally slated to open in July of 2013 was going to add $7 million and in combination of organic growth and pricing would add another $35 million. So if we turn to slide 5, we missed our original EBITDA guidance by $110 million, so how did we get here? The largest item on the list was the decline in the price of base oil and our blended products, which accounted for more than 50% of the shortfall. Other factors included a customer cancellation after our Fort McMurray field organization unionized that we discussed earlier, delays in turnarounds by some of our refinery customers and certainly the historic flooding in Western Canada. Compounding these external challenges, we went through an entire year with no major marines response events for the first time really in several years. Fortunately the additional synergies we generated during the year offset some of the shortfalls that are listed here on this slide. If we turn to Slide 6, so how we are responding to this environment? First of all, we are launching a broad strategic review of our operating structure with a focus on how to better drive organic growth and improve our return on invested capital. We also have initiated a cost reduction program aimed at taking $75 million in additional cost out of the business and bringing our cost structure more in line with our current revenue profile. We are targeting areas ranging from our non-billable headcount, office consolidation, maintenance and logistics with a goal of significantly reducing our overall expenses. In addition to pure cost reductions, we are launching a number of margin improvement initiatives including moving to a regional sales organizational structure to drive organic growth and foster more cross-selling at the local level. We are also targeting margin enhancements in the areas such as our pay-for-oil program, optimizing our disposal in terminal network and building a third blending facility. Collectively, these programs will help us address the margin pressures we are currently experiencing. Starting here on Slide 7, I’d like to take you through our Q4 performance from a segment perspective, I won’t spend much time focusing on the individual segment financials, but as you can see we included financial charts in each slide as a reference point. For Tech Services, as you can see, revenue grew 18% and EBITDA 26%. The growth in revenues is really – on the Tech Services side it demonstrates really the benefit of adding the Safety-Kleen waste streams to our network. Our incineration utilization in the quarter was good led by strong combinations of both the U.S. and Canada locations. Our landfill business saw a drop-off in volumes, mostly due to the typical quarterly variability and the conclusion of a large project. Overall, Tech had a solid quarter with decent margin performance, but the mix of business was less favorable than expected primarily due to the year-end slowdown that I mentioned. If we turn to our oil refining and recycling segment on Slide 8, this segment had a challenging quarter. Revenues on a sequential basis were only slightly down, but that’s a bit misleading, as we had a full quarter’s contribution from Evergreen Oil that we acquired in Mid-September. The revenue we added from Evergreen was at a lower margin than we produced at our two Safety-Kleen plants in Q3. We are in the process of bringing the Evergreen plant up to the levels of safety, efficiency and productivity that are more in line with our other two refineries. In fact, we invested more in Evergreen in Q4 than we originally anticipated and for the quarter, Evergreen generated an adjusted EBITDA loss of about $5 million, which drove down our segment profitability. In terms of our key metrics in that segment, we slightly lowered our PFO cost by another penny in the quarter and our blended products accounted for 33% of our volumes in Q4, slightly below the full year which averaged about 37%. Safety Clean Environmental Services on Page 9 delivered a strong sequential increase in profitability. We generated a better product mix than we did in Q3 and also moved pass some one-off expenses we had in Q3 like healthcare. In order to give investors a better sense of how this particular segment is performing, we intend to provide two key metrics going forward that we’ve not shared previously, the number of parts washer services we conducted in the quarter and how much waste oil we collected. In Q4, more than 150 Safety-Kleen branches completed 220,000 parts washer services meaning they visit the customer to pick up or drop off solvents or service the machines themselves. For the year, we conducted approximately 900,000 parts washer services on the nearly 200,000 parts washers that we handle for customers. Our branches also collected 51 million gallons of waste oil in Q4 which includes a small contribution from Evergreen. For the year, Safety-Kleen gathered just over 200 million gallons of oil, the vast majority of which went into our plants to be re-refined. Turning to Slide 10, in Industrial and Field Services, revenues were down slightly as the growth we achieved in certain lines of business were offset by some softness in the Oil Sands region, as well as the fact that Q4 of 2012 had a $12 million event in regard to Hurricane Sandy revenue. For the fourth straight quarter, we’ve had no major events in Q4 2013 as well. Profitability and margins were down primarily due to the mix of business. Two new metrics that we want to share with investors in this segment to better convey our performance going forward as utilization rates of our billable personnel and outside room utilization at our major fixed lodges. During Q4, the utilization of our billable personnel in this segment was 80%, with a slightly higher performance in our Field Service group versus our Industrial Group. For the full year of 2013, the segment’s billable personnel average utilization of 82% for the year. In terms of room utilization at our major fixed lodges, our target for full utilization would be in that 85% plus range, since we typically reserve 10% to 15% for own use. In Q4, outside room utilization was 72% while the full year average was 81%. The decline in Q4 was attributed to the competition as well as renovations underway at one of our larger facilities. Ruth Lake was not included in Q4 calculation, as it was still coming online. Overall, Ruth Lake continues to be slow to fill up. As of today, we are at above 50% capacity, while we’ve been signing up customers at good rates, we haven’t seen larger blocks of room booked yet as it has mostly been smaller customer commitments. The facility remains a showcase location for us and we still have high long-term expectations for Ruth Lake but the larger multi-year contracts have been slow in coming as customers’ project delays in that particular area of the Oil Sands have impacted the accommodations market. Turning to Slide 11, Oil and Gas Field Services, this segment underperformed in the quarter as a result of the exploration slowdown I touched on earlier. Despite the shortfall in that area, overall revenue and profits were up slightly from the same quarter a year ago, based on expansion in our surface rental group. We continue to focus our efforts on growing our presence in the U.S. shale plays. In Q4, we continue to build our presence in the Rockies and we work on rigs within several basins in that region. More recently, we planted our flag in Texas and Oklahoma region with equipment placed on rigs in the Permian Basin. Following spring break up in Canada this year, we anticipate sending more assets to that region and expanding our southern U.S. footprint. This quarter we are introducing two key metrics for the segment, average rig service and utilization of our key rental equipment primarily center fuses. Our goal is to provide you with a greater ability to gauge the performance of our oil and gas field services. In Q4, our equipment was involved on an average of 195 rigs that level of involvement could range from some individual pieces such as a single center fuse, to a full package of center fuses, control tanks, trailers and various other rental equipment. Going forward, we want to not only grow that number, but expand our service intensity on the sites we are already on. In terms of key equipment utilization we are still utilized at 46% in Q4, full utilization for this equipment would be in the 75% if you allow for maintenance and travel in new locations. So let me turn to the outlook on Slide 12, we have a range of initiatives underway aimed at revitalizing our revenue growth. Including driving more volumes into our disposal network, opening new Safety-Kleen branches and cross-selling field services to Safety-Kleen’s 200,000 customers. With an eye toward long-term growth in our Tech Service business, we moving forward with a development of a new incinerator at our El Dorado facility, we now have the permit in hand and the local community is firmly behind our expansion there and it will continue to be a multi-year build out with construction expected to kick off in earnest this year. We expect this facility to cost us approximately $80 million in total, while this represents our largest individual investment, we believe the returns will be attractive, the facility is being designed to handle the maximum amount of high-end waste streams such as Ozone depleting chemicals and we anticipate it will be a stronger contributor when it comes online most likely in early 2016 as we expect to build out phase to be finished in late 2015 and final testing thereafter. Our focus going forward will be on creating sustained profitable growth by significantly reducing our cost and improving our returns on invested capital. We know that our returns in recent years have been lackluster and we are focused on changing that, even in the phase of some challenging market conditions. In fact, when we publish our proxy in a few months, you will see that ROIC has been added as a key metric to not only the executive compensation plan for 2014, but to the next layer down in the organization. We intend to evaluate the performance of the larger management team on revenue, EBITDA margin and safety as we have in the past and we are including return on invested capital as a fourth metric. We believe driving ROIC further down into the company will be important in generating more meaningful results. Before turning the call over to Jim, I would like to conclude by saying that we appreciate the fact that our results have been a disappointment for our investors in recent quarters including today. The board is supporting our shareholders with our first buyback program in our history. At the same time, the management team is taking specific steps to deal with the challenges in our markets. As we discussed in this morning’s news release, a number of the headwinds we encountered at the end of 2013, have continued into the first quarter prompting the company to lower our full year revenue and adjusted EBITDA expectations. Jim will discuss this with you in more detail. Let me reiterate however that our long-term vision for the company and growth strategy remains intact, the Safety-Kleen acquisition and the company’s expansion into new growth markets over the past five years has established scale and a solid platform to now grow from. So with that, let me turn it over to Jim for the financial review. Jim?
James Rutledge: Thank you, Alan and good morning everyone. As I do each quarter, let me kick off my remarks with some brief additional perspectives on how our verticals performed this quarter. Looking at Slide 14, general manufacturing was again our largest vertical in the quarter, accounting for 18% of total revenue. Base business continues to be stable. We saw some delays in cleaning projects as customers scaled back on year-end spending and the cold-weather also caused some delays. Our head of this vertical is optimistic about growth opportunities for us in 2014. Refineries and oil Sands customers accounted for 14% of Q4 revenue. Organic growth in this vertical from Q4 a year ago was about 5% despite the loss of a major contract we referenced earlier in the year in the Oil Sands. Organic growth in this vertical was supported by strong cross-selling activity with Safety-Kleen and are securing two major contracts at a U.S. refinery. Automotive accounted for 11% of Q4 revenue, but could have been slightly higher had blended lubricant sales been somewhat stronger in the quarter. Containerized waste collections in this vertical were slower in this quarter as well. The Chemical vertical represented 10% of Q4 revenue, similar to the past few quarters, we are seeing a solid base business, driven by the low cost of natural gas. Base business was solid in the quarter but remedial and industrial projects were again light as some were pushed off to 2014. Incineration volumes were strong, but with some drop-off in several key customers toward year-end. Volumes resumed after the start of the year. Oil and gas production accounted for 8% of revenue with our expansion in the U.S. surface rentals market driving the bulk of the 8% year-over-year growth we saw in this vertical. As you can see from the rest of the slide, we have a highly diversified mix of industries and verticals that we serve. On Slide 15, here is a quick snapshot of our Q4 direct revenue from our five segments, ranging from oil re-refining, accounting for 10% of the total, to technical services at 34% of total revenue for the quarter. This revenue split is similar to what we experienced throughout 2013. Turning to the income statement on slide 16, gross profit for the fourth quarter was $234.3 million or a gross margin of 26.6% compared with a gross margin of 28.5% in the same period last year. While this year-over-year margin decline was largely anticipated, we forecasted a slightly better performance. Our cost of revenues were somewhat higher than expected in Q4 on a sequential basis, our gross margin percentage declined 200 basis points from the seasonally stronger third quarter. Turning to expenses on this slide, SG&A this quarter totaled $104.9 million or 11.9% of revenues. This compares with 13.5% in Q4 a year ago. This reduction in SG&A percentage is primarily due to the decline in compensation expense as a result of our 2013 performance and the effect of cost synergies with Safety-Kleen. Excluding integration and severance costs of about $1.8 million that were recorded in SG&A, in Q4, our SG&A percentage was actually closer to the 11.7% which is below our target range of 12.5% to 13% of revenues. For the full year 2013, our SG&A percentage was 13.4%. Looking ahead to the current year we are projecting our SG&A percentage to be in the low to mid 12% range. In Q4, depreciation and amortization increased 51% to $67.5 million. This is slightly below the $69.4 million we reported in Q2. For the full year, G&A rose 64% to $264.4 million due to the addition of Safety-Kleen and Evergreen. Looking ahead to 2014, we are currently projecting D&A to be in the range of $275 million to $280 million. Income from operations for Q4 was $58.9 million or 6.7% of revenues, compared with 6.5% of revenues in Q4 a year ago. Our operating margin improved slightly as the reductions we made in our SG&A offset the lower gross margin we generated in the quarter. Our Q4 adjusted EBITDA was $129.3 million or a margin of 14.7%. While this represents a 55% increase from a year ago, it is below our target range. If you adjust for the $2.1 million of total integration and severance cost this quarter, our margin was still below 15% for the quarter. For the full year, our adjusted EBITDA margin percentage was 14.5% and if you add back the $17.5 million in integration and severance costs in 2013, our full year adjusted EBITDA margin was 15%. Turning to our taxes, our effective tax rate for Q4 came in lower than expected at 31.2%. This compares with 34.7% in Q3. For the full year, we had an effective tax rate of 33.6% and looking ahead to 2014, we expect our effective tax rate for the full year to be approximately 36.5%. Turning to slide 17, we thought it would be helpful to provide you with a visual bridge to the $15 million shortfall in adjusted EBITDA in the fourth quarter. Clearly a large factor in the decline was in the re-refining business where base blended sales essentially dried up in the final two weeks of the year and Evergreen was a larger drag on the quarter than originally expected. Another large contributing factor was in the Industrial and Field Services business, where our lodging occupancy was less in the final weeks of the year as Alan alluded to earlier. Turning to Slide 18, we continue to maintain a strong and healthy balance sheet. Our cash and marketable securities as of December 31, were $322.5 million, this is a sizable increase from the $260.4 million we reported at the end of Q3 as our business continues to generate a strong cash flow. I would like to note here that you can see our 2012 balance sheet has been labeled as adjusted. This is due to some minor adjustments that were made for purchase price measurement period adjustments related to the Safety-Kleen acquisition. There were no changes of significance in this regard. Total accounts receivable decreased to $606 million at year end from $645.2 million at the end of Q3. However, days sales outstanding increased to 69 days compared with 66 days in Q3. The main reasons were a full quarter of Evergreen receivables that were included as well as a project customer with extended terms. We are continuing to focus on collections and improving our billing processes to reduce DSO. Although it will likely take us a few quarters to bring our DSO down to our targeted level of 60 days or fewer. Environmental liabilities at year-end were $219.6 million which is flat compared to Q3, and down from where we were a year ago despite adding Evergreen during the year. CapEx for Q4 was $72.6 million, slightly above the $66.2 million we spent in Q3. For 2013, we concluded the year at our expected target level of $280 million and net of equipment sales during the year, we are closer to $276 million. This included maintenance CapEx of approximately $130 million in growth CapEx of nearly $150 million. Looking ahead to 2014, we are currently targeting CapEx of approximately $200 million exclusive of the incineration project in El Dorado which will likely add $25 million to $30 million depending on the pace of construction. Our cash flow from operations was again strong, at approximately $136 million in Q4, just slightly below Q3’s level. For the year, we generated nearly $416 million in cash flow from operations. Moving to guidance on Slide 19 which we outlined in our press release this morning. We downwardly revised the 2014 guidance we provided in early November on our Q3 call. We lowered our original revenue guidance which was preliminary at that time, which was originally at $3.7 billion to $3.8 billion to a range of $3.5 billion to $3.6 billion; we’ve reduced our 2014 adjusted EBITDA guidance of $610 million to $640 million to $525 million to $555 million. In addition, because the factors that caused us to bring down our guidance are weighted so heavily to the start of the year, we are providing quarterly guidance for Q1 to help investors better understand the seasonality of our revenue and profitability in 2014. The first quarter has historically been one of our seasonally weakest quarters and that will be exacerbated this year. For the first quarter, we are expecting revenue in the range of $820 million to $840 million with corresponding adjusted EBITDA in the range of $100 million to $105 million. Turning to Slide 20, I will briefly touch on the headwinds that we are experiencing in 2014 which caused us to reduce our guidance for the year. In mid-January, the refining majors led by Motiva, dropped their posted group two lubricant pricing by $0.25 to $0.30. This pricing affected our own contracted base oil volumes, which are directly tied to these posted prices as well as what we sell in the spot market. Also, very early in the year, we experienced a rapid decline in the value of the Canadian dollar. When we held our call with investors in November, the Canadian dollar was at about $0.97, today it is closer – it’s just little bit above $0.90 and there is little indication that it will be increasing much at all this year. From a translation perspective, each penny decline in Canadian dollar translates to roughly $2 million to $2.5 million in adjusted EBITDA for us. We are looking at ways to take advantage of that currency swing from a transactional perspective such as buying more waste oil in Canada and bringing it into the U.S. The third factor is within our oil and gas business, particularly in seismic, the first quarter typically represents the seasonally strongest quarter for that business due to the exploration opportunities in the far northern areas in Alberta and in Alaska. We are seeing a sizable slowdown in the exploration business in Q1, with fewer multi-million dollar projects, given the existing backlog of drilling opportunities in the region. The fourth factor is that the winter weather has affected our Q1 performance today from severe cold temperatures in Western Canada driving up our fuel and maintenance costs, to a high number of branch office closings across the U.S. We have offices in places like Houston and Atlanta that really see a single day of weather-related closures, suddenly closing for multiple days at a time. And finally, as Alan mentioned, our lodging business is under some pressure with the current project environment in the Oil Sands region and Ruth Lake has clearly been slower to fill its capacity than we originally expected. The combination of these factors is contributing to a very slow start to the year. On Slide 21, we again thought it would be helpful to provide investors with a visual bridge of these factors contributing to our lower adjusted EBITDA guidance from our preliminary figures. On slide 22, the other major news we are announcing today as Alan alluded to is that our Board has authorized $150 million share repurchase program. This transaction will be funded out of our cash balance as we certainly have the financial flexibility to support this shareholder-friendly initiative, while continuing to execute on our growth plans. This program reflects the Board’s confidence in our growth strategy and our long-term vision for Clean Harbors. And with that, Rob, could we please open up the call for questions?
Operator: (Operator Instructions) Our first question is from the line of Al Kaschalk of Wedbush. Please go ahead with your question.
Albert Leo Kaschalk – Wedbush Securities: Good morning guys.
Alan McKim: Good morning Al.
Albert Leo Kaschalk – Wedbush Securities: I want to focus on Tech Services real quick, could you talk about on the strong margin performance there, but could you talk about the pricing environment? I know you had some mix issues in the back half of the fourth quarter, but can you talk about how you – for the full year realized on your pricing goals and what do you expect in 2014?
Alan McKim: Tech Service, clearly with some of the technologies that we use in that segment as you know are highly utilized and there we’ve gotten price increases that range from 2% or 3% up to 6%, 7%, depending upon the waste streams that we took in. If you look across the total business though, given the fact that we are growing in certain areas and for example in rental services in the oil and gas business where we are growing in the U.S., we’ve done some discounting. So that offset some of it. But I would say overall for the company, we probably had about a 1% price increase overall I would say.
James Rutledge: Yes, I think the mix in Tech Services should improve here as lot of rail shipments that were delayed into some of our facilities which tend to be some of the higher hazard materials which tend to carry a higher price. So that that mix should get back to normalize after the first quarter here, Al.
Albert Leo Kaschalk – Wedbush Securities: Okay, and my follow-up, one of your large competitors that talked about lowering their cost for the TFO, just you mentioned a penny in the improvement here recently, but – what can you share on your efforts there in terms of 2014 and if there is a way to quantify it or directionally, how you are thinking about that? That will be great. I realize there is both the spot marketing contracted business.
Alan McKim: We continue to fight the challenge of having such a high crude oil price that basically has decoupled our base oil price and that’s really been the biggest challenge that this business has had since we’ve owned it now for the past 12, 13 months. So as you know, like our competitors, a lot of our pricing is indexed off of Gulf Coast number six and most of that pricing obviously is impacted by crude oil pricing. And so, as crude continues to be at $100 a barrel and we continue to be indexed as much as we’ve been aggressive than lowering our overall PFO pricing, and we’ve seen that for the whole year, we’ve seen improvements. It certainly hasn’t been fast enough considering how crude has moved this year. And as we’ve said all along, it’s really been unprecedented to see the decline in the price of our recycled products being where is that compared to where crude is and we were significantly – very much surprised in January to see a price decline and in turn saw significant amount of volume decline in December with probably more knowledge of that price decline being out there in the market that we certainly have heard. And so, our hope is, is that that will improve, because it absolutely is a bear borne margin at this point. And we have to have a cost structure in place to operate at this level of pricing and we are going to do all we can to improve our margins both on what we pay for oil as well as what it caused us to manufacture our recycled products.
Albert Leo Kaschalk – Wedbush Securities: Okay, thank you.
Alan McKim: Yes, thanks.
Operator: Our next question comes from the line of Michael Hoffman of Wunderlich Securities. Please go ahead with your question.
Michael Hoffman – Wunderlich Securities: Hi, thank you for taking my call. Can you help us, Jim, Alan, on your thoughts about this five segment margins that directions that they take based on what your guidance is. So you have an overall 15.2 for the year, 70 basis points, but what’s up, what’s down? And even just talking about like, who is up and who is down as opposed to how much, but if you can give how much, great?
Alan McKim: Jim?
James Rutledge: Sure, absolutely. Starting with Tech Services, we do see some improvement in the margin there as we progress through the year. As you know it’s seasonal, so the earlier, the first quarter, you will see it comparable with last year and you know that we are seasonally weaker than, but as you certainly go into Q2 and Q3, you will see a nice improvement year-over-year as well as over Q1. Then, when you look at the industrial and field services area, I think there the margin will be flattish against last year and one of the issues that’s driving that a little bit is the currency effect that we talked about before. In fact the overall tempo of the business even though it will be up in the low single-digits if you just looked at it on a Canadian dollar basis, when you take into account that we have – that business is probably in the – I would say 60%, 70% range in Canada, you see an effect of the margin that we talked – effect on our EBITDA when you translate it into U.S. dollars and there is some little bit of a margin impact on that as well. In new oil and gas field services, with the challenge of Q1 in the winter drilling programs and the seismic activity, up in Western Canada, not been as strong in Q1. You are not going to get the leverage, the operating leverage that we saw last year when it was more robust in the first quarter there. So you will see some pressure – downward pressure on the margin in the oil and gas side. And then you also compound that with the fact that you probably have about 60% of that business that is Canada as well, so there is some impact of margin as well there. I do believe in the SK Environmental business, that being very related to our legacy Clean Harbors’ environmental business. As we – now that we have that business on our systems platform and we embark on a lot of those margin improvements and cost reductions that Alan referred to we are expecting a margin improvement in the SK Environmental area. And then in the SK facilities with the price decline clearly, that had an effect of $20 million, $25 million on both revenues and EBITDA. So it will be a challenge, but I would say probably flattish in terms of margin impact, because we are not anticipating clearly, not in our guidance any kind of a price increase certainly and we are trying to risk-adjust as much as we can by keeping it flat and risk-adjusting other areas of the business not to be too overly generous on the margin in the SK refinery area. So that’s basically a quick walkthrough.
Michael Hoffman – Wunderlich Securities: Okay, and then, on that oil and – used oil business, the re-refining business, and I am not trying to be unkind, but it seems as if the company’s reaction to pressure on base lube and then consequently what it meant to the economics of the business. It feels like a slow and why can’t you go faster and be more aggressive on taking $0.87 and getting it into the 70s. Why are we thinking out of the box by – and I don’t know if it’s impractical but, the furlough part of your production for some window at time, narrow the volume you are collecting to the remaining plants and then get a heck a lot more aggressive on the price. So then why aren’t things like that happening?
James Rutledge: I think, Michael, we are looking at all options to address the margin squeeze that we are encountering and there wasn’t anything that’s off the table and so I think the management team who has been through difficult times in the past is going to get through this and going to resolve the problem that we currently have and we are not going to wait for market pricing to fix that. And so, I think just stay tuned on that. I would just tell you that there isn’t anything that we aren’t looking at as a way of countering the margin squeeze that we are dealing with right now.
Michael Hoffman – Wunderlich Securities: Okay, and then, one housekeeping thing, the $75 million, where is that coming out of and are there some charges related to headcount and what have you, that we should be thinking about?
James Rutledge: You are going to have some headcount reductions there certainly and there will be some severances that will flow through. But I don’t think any particular charges are contemplated at this time. One of things now having the business on one platform and operating on one information management system that we completed in November getting off of the old SAP system that Safety Clean has, we have a tremendous opportunity now to really do some things with the business to make some changes to the organization to drive more cost. Now that we have the only information available and to mine more data and to do better things like strategic sourcing and to manage billable hours and manage equipment utilization and all the things that I think Clean Harbors has historically has done very well at managing its assets. We now have all that on one platform and so, whether it’s maintenance or it’s internalizing transportation or it’s internalizing disposal, there is just a tremendous opportunity here for the company and so that that $75 million, we really have felt very confident about as we’ve been peeling back the information now since November.
Michael Hoffman – Wunderlich Securities: Okay, thank you.
James Rutledge: Okay, thanks, Michael.
Operator: The next question comes from the line of David Manthey from Robert W. Baird. Please go ahead with your question.
David Manthey – Robert W. Baird: Thank you. First off, Alan, how far are you willing to go with the strategic review? Are you open to divesting parts of your business? Or are you just trying to fix everything you currently have? And the reason I am asking is, when you look at 2013 EBITDA, it looks like more than 80% of it is coming from Tech Services, SK Environmental and then Industrial and Field Services. So, when you think about the volatility that’s been created in your business, it would seem that it’s mainly in these other areas, is it possible to strip those out and divest them and focus your strategy?
Alan McKim: I think our strategy, as you know, has really been to expand our footprint geographically as well as with some lines of business that will drive more waste volumes into our disposable networks. And you clearly can see that in our Tech Services business, we are expanding our incineration capacity. We are rationalizing some of the Safety Clean facilities as part of that review as you know. The company really has a leading market share position in the waste management side of the business, but it isn’t all derived just from Tech. And so some of our expansion into the Western Canada area into the oil and gas space has really helped us drive some waste volumes. Now that, with that being said, some of the acquisitions we have made also were – of companies that also had done the acquisitions and had done some roll-up deals and so they made continuously be a review of some lines of business that we are in or some businesses that we are in today that don’t fit well with our long-term strategy. And we are certainly going to take a look at all of those businesses and work with the management team to make the best decision both short-term as well long-term from a return standpoint.
David Manthey – Robert W. Baird: Right, okay. Yes, I hope that you pick a clean sheet of paper to this, because I think at least from a lawsuit perspective, bringing clarity to your business once again we go a long way. So, with that, the second question is, could you tell us what portion of the $75 million in cost reductions you are expecting in 2014 and when would those run rate fully be realized? And then as an add-on to that, to sort of understand what the year-over-year impact is here? Can you estimate what you think weather impact was on revenues and EBITDA in the first quarter?
Alan McKim: I’ll just make one comment and maybe, Jim might want to jump in here. But if you look at our overhead and if you look at the run rate in January of this year compared to January of last year, our corporate overhead and subsequent to all of the combined corporate costs are down about $40 million annualized. And so, when we look at the success that we had in getting rid of IT systems for example, saving $15 million just on information management systems, those synergies are clearly showing up in our financial statements. And so, we feel very strongly that last year’s efforts are going to show up this year and people will appreciate all the hard work that was in, in getting those costs out of the business. As it relates to the additional rounds of cost, this is, we are a service business. This first quarter, we’ve had a tremendous winter to deal with. Our field people are dealing in most extreme temperatures. We’ve got railcars held up by the railroads; we’ve got barges stuck in ice. We’ve had people significantly impacted in their ability to perform services in the field. So, first I want to say, we’ve got a great organization. But one of the problems we have is we are getting squeezed in some of our business. So we need to address that. And so we are going to be doing the right thing for the business, but the business isn’t broken, we’ve got a great customer base that we are going to continue to service. We are just going to fix the business, so that the business is going to be at the level of profitability that we know that people like you expect and our board expects and so between the board and the management team we are reviewing our business. We are reviewing our portfolio and we are going to make sure that we are making the right decisions here and growing and running this profitably.
James Rutledge: That’s right, and the only point I would add to Alan’s comment and it’s related to the more direct question that you had there about the weather-related issues in Q1. I would say in the $15 plus million areas could be as high as $20 million. I would say in January itself it was $10 million, tough, tough month given that I talked about in my comments with branch closings and so forth. And that’s in EBITDA that I was just talking about.
Alan McKim: Hopefully that gives you some color.
David Manthey – Robert W. Baird: Yes.
Operator: Our next question comes from the line of Larry Solow of CJS Securities. Please proceed with your question.
Lawrence Solow – CJS Securities: Hi, good morning.
Alan McKim: Good morning.
Lawrence Solow – CJS Securities: Wondering if you could just parse out your base oil pricing assumptions, are you sort of assuming flat rates, current pricing going forward, I know, we are sort of entering a seasonal – generally as it would have been a seasonally stronger period in the year. I guess, that’s somewhat offset by Chevron coming online maybe or may not that’s already priced in. Just sort of what your assumptions are going forward and are you assuming – also that you are able to reduce your pay for oil at all this year, or you sort of basing your guidance on $0.87 average price?
Alan McKim: From a pricing standpoint of lubricant sales, we kept it flat, the guidance that we put out including the January price decline that we saw. So we kept it flat for the rest of year and that seems to be what others seem to think out there. Clearly, we are all waiting to see – come online and see if there any impact, but most people think that this was an anticipation of that. So we kept it flat. On the PFO side, just mild, center two is what we included here of the decline.
Lawrence Solow – CJS Securities: And just following up on – Michael asked the same question earlier, but is there a reason why you can’t get a faster reduction just because crude is remaining so high, I mean why can’t you just become more aggressive, just, we are not paying XYZ when prices of end-markets have come down so much?
Alan McKim: We have – I would tell you that we have reduced the volume of oil that we collected last year because of that attitude that we have taken. There are a number of accounts that we have walked away from that were priced significantly above even the RFO market that recycled fuel oil market and so our recycled fuel oil sales which is essentially the surplus volume that we handle is down I think, about $30 million Jim, is it directionally right?
James Rutledge: Yes, that’s right.
Alan McKim: So that kind of gives you an idea of the volume decline that we chose to take because we cannot continue to pay some of the rates that that we are paying.
Lawrence Solow – CJS Securities: Right, what’s your outlook sort of for the blended sales in 2014 as a percentage?
James Rutledge: Blended, we are certainly shooting to get that over 40% and we are implying in the high 30% range that’s kind of what we have implied in the guidance. That target is to drive that as high as we can.
Lawrence Solow – CJS Securities: So that’s still relatively flat year-over-year, not much of – a modest increase or it is…
James Rutledge: What we’ve implied, that’s correct, Larry.
Lawrence Solow – CJS Securities: Right, and is the delay just related to the overall, the market weakness or what – what’s driving that?
James Rutledge: So, it’s sort of a delay in getting this higher.
Alan McKim: Yes, certainly pricing, we are looking very closely to see how the base price decline, what effect that has in the blended side and we are assessing that. But I want to stress that our objective is to drive blended higher. That is – and especially, in ecopower where our own brand we are really pushing that heavily.
Lawrence Solow – CJS Securities: And lastly just on the Evergreen assumptions built into your – the whole diesel area – what do you think – do you assume that you can get up to full capacity by year-end and how does that – is it accretive in 2014?
James Rutledge: I would tell you that that we’ve been very successful very pleased with the entrance that we’ve had into California. We’ve got our own equipment out there and now we’ve got our own drivers collecting oil and directly servicing a lot of our customers as well as working with a couple of partners. And I would anticipate in the first or second quarter that will actually be in next quarter out of California because we wanted to get into the California market to access a low-cost market to drive volumes back into our core plant. So, I think that strategy has really paid off. I also think the team has done a nice job of getting the facility up and running from a safety standpoint certainly to the Clean Harbors standard and we will then continue to improve the throughput of that facility. That facility has a lot of upside to it. There is no reason why we can’t get to the 20 million gallon to 24 million gallon level. It’s a relatively brand new facility. It has some choke points that need to be addressed. We are putting in some capital and that plant we expect it to be a real winner for us.
Lawrence Solow – CJS Securities: Okay, if I just add one more quick question, just on the reduction or reduced outlook for oil and gas exploration in the sort of slowness in filling Ruth Lake, it appears it’s just related to weakness in activity in oil sands and just general slowdown there. I know there are long-term growth trajectories for Oil Sands activity, obviously takes it up much higher, but in the short-term or even over the next couple of years, what’s going to sort of get this to rebound. Or you get a need – a reduction in discrepancy between Western crude and Canadian crude, what’s going to sort of get this going again with you?
Alan McKim: I think people have announced a number of projects, pipelines as well as rail, regardless of keystone that’s going to – we believe open up the bottleneck and drive renewed growth. There is still $15 billion to $17 billion a year of capital being spent. So everybody has scaled back somewhat, but there is still a lot of money being invested in the ground and a lot of maintenance that needs to take place. So there is still an estimate of over 10,000 shortages in the market up there. So we anticipate – we are well positioned there. We’ve got a beautiful facility. We’ve got a great brand. We think we missed the winter with the delay as we talked about Larry, but there is no question that that we’ll be able to get a 100% utilization on that site.
Lawrence Solow – CJS Securities: Okay, so that's something you're targeting for – it was by the end of the year, so for 2015, it’s well-positioned for…
Alan McKim: Absolutely, absolutely.
Lawrence Solow – CJS Securities: Okay, thanks. Thank you I appreciate it.
Alan McKim: Yes.
Operator: The next question is from the line of Jamie Sullivan with RBC Capital Markets. Please go ahead with your question.
Jamie Sullivan – RBC Capital Markets: Hi, good morning.
Alan McKim: Good morning, Jamie.
Jamie Sullivan – RBC Capital Markets: So, your question, just following the Analyst Day in September, it seems like a lot of the guidance reduction from the November report is due to things like weather translation, some of the volatility in re-refining. So just wondering what sort of come to light over the last few months that caused the rethinking of how the business is structured. Is that what you feel you can control in a difficult market or are there other learnings about the business that have come about?
Alan McKim: Yes, I think, Jamie, as we said, October we had a record revenue month. And so we felt that we will really start to see an uptick in the top-line and I think when we started to experiencing the slowdown between Thanksgiving and holidays, this year particularly maybe just because of the way the holidays fell. It just seem like business in general across our entire business for the last two weeks of the year, really, significantly slowed down. And so, that was one issue. I think the second issue, particularly to do with the first quarter of this year. We’ve had upwards of a 150 of our railcars stuck, we’ve got 1000 railcars, tankers moving products in our facilities and what that did. With the bitter cold and the rail road is being delayed, it really – not only delayed sales and build inventory, but we have start to hauling a lot of our deliveries by truck which significantly increased our cost. So, lessons learned, we need to reposition inventory into our other terminals during the winter months, so that we don’t delay customer service, we don’t increase these increasing costs. So, there is some lessons learned here in how to deal with two re-refineries that are in New Chicago and in Ontario. And the bitter cold has had a huge impact on the operations on our facilities. We’ve got over 5000 equipment operators and drivers out hauling waste, responding to spills, doing work inside these facilities that are working in bitter cold temperatures and so, we can’t predict that. But we can tell you that the folks in the organization, they are working extremely hard in very difficult environment and that just wasn’t predicted in the first quarter like it has, like, we have experienced this year. So, I hope people can appreciate what our team is going through.
Jamie Sullivan – RBC Capital Markets: Sure.
James Rutledge: And the only thing I would add is that, clearly, when market trends whether its translation or in the case of the price of lubricants, clearly, we see opportunities for cost to offset a lot of that and now that particularly after the huge acquisition of Safety Clean and now integrating them on our systems, is where Alan is talking about a lot of the opportunities that we have now as a combined organization to look at our branches, to optimize our business, to be able to produce higher margins. So, it’s both reacting to the market and taking advantage of cost reduction, but it’s also taking advantage of our combined team to really leverage that team to be more profitable and run the business together more smartly than we would as separate organizations.
Jamie Sullivan – RBC Capital Markets: Sure. That's helpful. And then maybe, Alan, you can give a bit more detail on the ROIC focus that you talked about. What are the corporate targets? And is there an expiration date where businesses that are not meeting a threshold by a certain point that may not necessarily be broken, but also not necessarily fit with your corporate target to get reconsidered?
James Rutledge: Jamie, this is Jim, I’ll just start it and then turn it over to Alan because I just want – you ask about targets. This year, if you look at our ROIC, we are probably in the high 5% range getting close to 6%. We want to improve that by at least 100 basis points this year and that’s what our short-term target is.
Alan McKim: So, then I think if you look at our historical returns, it was more in the double-digit plus and we realize that we are substantially below and again, when you look at the return on the capital that we’ve invested in some of the acquisitions, particularly the SafetyClean acquisition is just unacceptable of where we are at. And so we know we need to address that. But, our historical levels had been in the double-digits.
James Rutledge: Yes, low teens.
Alan McKim: Low teens, yes. So there is no reason why we can’t get back on track here and get through this difficult time.
Jamie Sullivan – RBC Capital Markets: But is there sort of a time at which you say it's just not happening to the pace that you want and so that causes you to reconsider the portfolio structure?
Alan McKim: I don’t know if there is any, I mean, I think we’ve been clear in regard to looking at the business strategically and structurally and making sure that we are looking at – I mean, we look at making capital investments by unit number. We are looking for projects that have given us one or two year return on investment. There are some longer-term projects obviously like Ruth Lake where we invested close to $50 million over the last two years, that we haven’t yet begun getting that kind of return that we had expected and certainly with the Safety Clean acquisition paying $1.2 billion for that business, we haven’t gotten the return that we should be getting. So some of these things take a little bit of time. I aim to put a timeline on it and say, well, by then we are going to do this, but we all – we all are focused on what we need to do to improve the returns here.
Jamie Sullivan – RBC Capital Markets: Okay. Thanks for the candor, guys.
Alan McKim: Yes, thank you Jamie.
Operator: Our next question is from the line of Sean Hannan with Needham & Company. Please go ahead with your question.
Sean Hannan – Needham & Company: Yes, thank you. Good morning. Can you hear me?
Alan McKim: Yes.
James Rutledge: Yes, Sean- Good morning.
Sean Hannan – Needham & Company: Good morning. So wanted to see if maybe when we talk about the dislocation of costs and revenues, and at least as we can perhaps think about that for that, the movement with the Canadian dollar and how that's impacting us. Can you maybe elaborate for us on the supporting costs that are causing a little bit more of that EBITDA dislocation?
James Rutledge: Sean, I think, I would characterize it to say, clearly our revenues in the region are translated over. But we do have plants and a lot of equipment working and people in Canada. So, it’s really the EBITDA translation. But it does have some effect on the margin. It’s not – the overall effect on EBITDA dollars clearly is large and we said that we estimated that that’s in the $15 million range roughly and on revenues of $100 million. But that’s affecting our business just with the change in guidance that we had. So it was a significant piece. But there is also a little margin pressure, because, we are over $1 billion in revenue in Canada.
Sean Hannan – Needham & Company: Right.
James Rutledge: Across all four of our businesses.
Alan McKim: Absolutely.
Sean Hannan – Needham & Company: Okay, so it's purely translation. We don't have other disconnects in terms of U.S.-based costs or U.S. dollar costs moving in, okay.
James Rutledge: No it’s pretty much translation.
Sean Hannan – Needham & Company: All right. So, and then in terms of the two contracts, you had mentioned two major contracts, with one with U.S. Refineries, can you elaborate on those a little bit?
Alan McKim: We’ve been expanding our services at many of the refineries and we were able in the Midwest to be able to garner a couple contracts there at a refinery where prior to that, we only did a minor amount of business.
James Rutledge: So our acquisition of Sierra which was a West Coast-based industrial services business and they had about 10 in- site programs, basically in putting center fuses in other ways processing equipment on refinery sites that has allowed us to take some of our center fuse equipment, particularly like what we have in oil and gas and leverage our assets and move those permanently on to refinery locations as part of our in-site program. We have probably over 1300 people today that are in our in-site program basically showing up on our customer sites everyday as part of their workforce and that’s been the very successful program. We are going to continue to grow that. So the Sierra acquisition really has helped us penetrate more. Our refinery business, I think was about 400 and plus million in revenues and the team now has been in place there for above three, four years and really feel pretty confident that we can grow our refinery business north of $500 million. So, we are making some good investments and making some good inroads with some of the key customers there?
Sean Hannan – Needham & Company: Okay, and then last, the Technical Services side, I know that we've touched on this a little bit during the Q&A. But the lack of that seasonal uptick, is there any more color that you can provide on why that mix may have been so unfavorable? Why we didn't get that demand that you would have otherwise anticipated? And then the follow-on to that, you had commented incineration volumes and chemicals has come back. It sounds like mix shouldn’t improve then in this quarter. Just trying to get a sense of how much recovery you are seeing here? Thanks.
Alan McKim: Yes, we saw a lot of companies extended shut downs at the end of December and again I think it was probably more – not as typical as we normally would see where, I think because of the way the holidays fell, people just shut down and with that, shipping and ending – cleaning out there – their waste inventory, just didn’t happen honestly. And we were very surprised by that because as Jim mentioned earlier, it’s typically of a big rush to get everything done at the end of the year, it’s not all fresh. We have sent that business come back. There was a couple of chemical clients of ours that were slow in coming back on in the first and second week in January. I think some of it was more weather-related. These are facilities in the Gulf that even been impacted by this terrible winter, we’ve had. So, I think we just saw a big down turn that we weren’t expecting because of the holidays.
Sean Hannan – Needham & Company: Great. Thanks so much.
Alan McKim: Thank you, Sean.
Operator: The next question comes from the line of Joe Box with KeyBanc. Please go ahead with your questions.
Joe Box – KeyBanc Capital Markets: Hey, good morning guys.
Alan McKim: Good morning.
Joe Box – KeyBanc Capital Markets: Alan, earlier you alluded to a more regional sales structure. I mean, typically you guys have been pretty good at cross selling, so is a more comprehensive selling structure necessary now that the business is maybe a little bit more complex? I am curious, will this touch all businesses? Just any color that you can give on the new structure would be helpful?
Alan McKim: Sure, I think with the Safety Clean environmental and Clean Harbors’ Technical Services business and its Field Service business, we’ve seen a nice flow of opportunities over the past year as we now join forces together. Safety Clean historically as you know service 200,000 small quantity type accounts. Clean Harbors tended to have more of the full truck load larger chemical refinery type of accounts and our field business which was called total project management by Safety Clean, that business has really I think got a lot of promise. And so by aligning our sales organization tighter within the regions to sell each other’s services across the various industries that Tech and Safety Clean is selling to, I think is a very good way of us getting back to Clean Harbors’ historical organic growth rate. If you look at the last ten years, Clean Harbors historically grew in that 8% to 10% organically and then grew north of that through acquisitions. We are really disappointed with our revenue growth at this stage of the game. We would have expected a much higher revenue growth going into this year and we’ve talked about some of the headwinds, but more importantly, we have 900 people in sales. We expect a much higher level of revenue growth from them than we are seeing. And we need to really take advantage of again the scale that we have and the market share that we have and do a better job of cross-selling and it’s particularly between our Tech Services and our Safety Clean environmental business.
Joe Box – KeyBanc Capital Markets: Understood. Thanks for that. And then just a quick follow-up on the Evergreen business. And I appreciate the comments earlier on what this business can ultimately do longer-term. I am just kind of more curious on the near-term, have you migrated excess Safety-Kleen oil yet to Evergreen and maybe how should we be thinking about the timing to ramp to more normal margins?
Alan McKim: So Evergreen is running at its capable capacity as we speak, but it’s not anyway near where the name plate of that facility is. So there are some mechanical issues that need to be changed out in that facility and so when we do go through our next turnaround we will be debottlenecking more but they are fully – they have the volume they need in that facility today. So, I would say, by the middle of this year, we will have addressed a number of those bottlenecks, not all of them that we need to build some additional storage, but all in all, I think the team has done a really good job in the short period of time since owning them in late September.
Joe Box – KeyBanc Capital Markets: I appreciate it. Thanks, guys.
Alan McKim: Yes, thanks Joe.
Operator: The next question comes from the line of Scott Levine with Imperial Capital. Please go ahead with your question.
Scott Levine – Imperial Capital: Hey, good morning guys.
Alan McKim: Good morning.
Scott Levine – Imperial Capital: The first question, I know you didn't previously have first quarter guidance in effect for 2014, but would you be willing to give us a sense of the guidance reduction to 2014 as a whole? How much of that, roughly speaking is Q1 with some of these issues to start the year, weather and otherwise? And then maybe, how much of it is a revised view of the remainder of the year obviously, translation affects the full year, but, how much of that is the balance of the year, just to assess your thought process in resetting targets here?
James Rutledge: I’ll start that. Scott, this is Jim. Clearly, the Q1 in the environmental business that encompasses both legacy Clean Harbors and the Safety Clean Environmental is seasonally weak in the first quarter. So it’s mostly a seasonal story. The disappointment though is that the – when we talked about the oil and gas side and with our seismic activity being slower, that usually helped offset some of that seasonality in Q1. And that’s why we wanted to make sure that we are giving quarterly guidance and we alerted everyone to that fact because, what really shines through now is the normal seasonality of the environmental business. If you look in the past, at our trends from Q1 to Q2, and look at years like maybe 2011 – I don’t have this all in front of me, but roughly like 2010, 2011, when the oil and gas was not as strong as it was in 2012 in the first quarter, we typically have seen a 200 to 300 basis point improvement in margin when you go into Q2 with the environmental business, because you are getting all that operating leverage going into the stronger season. Then typically you would see another increase in margin as you go into Q3 because that is the strongest quarter for the environmental business and then you go down not – down further, not as low as Q1, but in Q4 you do go down somewhere in between Q3 and Q1 when you hit Q4. So, what we intended to do here, we certainly – that piece that we talked about the first quarter is certainly built into the year guidance, but if you look at some of that seasonality that we’ve seen in the past, and try to set oil and gas aside because of the winter drilling program is up in Western Canada, you’ll see it then. You’ll see the trend for the year. Does that help Scott?
Scott Levine – Imperial Capital: It does. It does. So, thank you for that. And as a follow-up maybe, on the re-refining and recycling business, maybe more big picture, I can appreciate what's gone on with commodity prices and what have you. But, when – you set that aside and think about what you can achieve in your pay-for-oil program and your percent of blended as a mix of output, has your view of what you can accomplish with those types of factors changed or what are your thoughts bigger picture regarding this business? And assuming commodity prices normalize to return to levels, you think are more indicative of a normal environment. What are your thoughts of the attractiveness of this business in general and/or you as confident in that going forward as you were maybe a year ago?
Alan McKim: This is Alan. I think, we certainly never intended to get ourselves into a business where we are trying to differentiate ourselves with some of the major oil companies out there. We are a hazardous waste management company that is gathering 200 million gallons of hazardous waste across North America and putting in place a recycling and reused product that we are trying to sell our customers as a sustainable and green initiative that they should want to be part of, whether it’s lowering their carbon footprint or just their focus on being green, that we have lot of interest both across Safety-Kleen as well as Clean Harbors customers with that whole close loop approach to handling this hazardous waste. And so we are excited I think in the long-term to be able to differentiate ourselves in the market by having a green product that the OEMs would be interest in, that the major fleet operators that our major customers are wanting to be part of and we’ve had some good successes there. It’s early. But I truly believe in that strategy and I think that that will allow us to get ourselves away from being swung by what the majors are doing with their group two pricing.
Scott Levine – Imperial Capital: Fair enough. Thanks, guys.
Alan McKim: Thanks Scott.
Operator: Our next question comes from the line of Charles Redding of BB&T Capital Markets. Please go ahead with your question.
Charles Redding – BB&T Capital Markets: Hi good morning gentlemen. Thanks for taking my call.
Alan McKim: Good morning.
Charles Redding – BB&T Capital Markets: I was wondering if you could just give us a little more color on Environmental Services. I know your primary competitor would appear to be getting more aggressive on gaining market share. Do you still feel like you can gain a high teen EBITDA margin in 2014? Or should we be pairing back expectations there?
Alan McKim: On the overall Environmental business you are saying, clearly, we believe the margin would be in the higher teens in that business, overall, including Field Service, Tech Services SK Environmental, absolutely.
Charles Redding – BB&T Capital Markets: Okay, and then I wish you would just talk a little bit about the buyback. How aggressive are you looking to be here and what’s your take on repurchases in the next several quarters?
James Rutledge: We – obviously, the main point I would make here, Charles, is that, this is really no change in strategy for the company in terms of doing acquisitions and so forth if they make sense. It’s really having put this now in place, the way we kind of look at it is that we have added another arrow in our quiver. It’s more a capital allocation decision. Our cash flows remain healthy. We think we should have this. We went through the deliberation with the Board. They are in agreement now that this ought to be something that we use. It’s a start for us. We are going to monitor it very closely as we go forward. It’s kind of new for us. We’ve done this in a standard open market. We intend to do it in an open market manner and we believe that our stock is undervalued today and so, a repurchase does make sense. So we intend to be out there – but we are looking at it along with other things that we do to provide returns to our shareholders including our capital investment program and our acquisitions. So we will definitely be active out there, but we are going to evaluate it with all those other things and have it be another arrow to be able to give good returns to our shareholders. That’s the approach we are taking at the start.
Charles Redding – BB&T Capital Markets: Great. Thanks for the color.
James Rutledge: Thank you, Charles.
Operator: Our next question comes from Barbara Noverini with Morningstar. Please go ahead with your question.
Barbara Noverini – Morningstar: Hi, good morning everybody.
Alan McKim: Good morning.
James Rutledge: Good morning.
Barbara Noverini – Morningstar: Alan, you've often mentioned that Ruth Lake is a beautiful, premium facility and I understand that project delays are contributing to that lower-than-expected utilization, but what can you tell us about price competition in lodging and your ability to command our sustained premium pricing for your premium facilities like Ruth Lake?
Alan McKim: Yes, so our Ruth Lake facility was built with the eye towards providing executive rooms as well as business class rooms if you would for management that’s coming into the area that’s either working full-time at the Oil Sands projects or our contractors and engineers that are coming in and needing facilities as part of construction projects that they are working on like new construction. And so, the amenities that we brought in, the training facility that we have available not only for our own employees, but for customers, the maintenance facility that we have is really part of the overall complex that really no one else has. And so in visiting that site which is a 600 room facility, I think, as customers have come in toward – I think our differentiation is the fact that people have a private room with great facilities and great food where they can – they could come where many of them are away from home for two or three months at a time.
Barbara Noverini – Morningstar: Gotcha. Thank you.
Operator: Our next question is a follow-up from the line of Al Kaschalk with Wedbush. Please go ahead with your question.
Albert Leo Kaschalk – Wedbush Securities: Hi guys. Can you talk about the 2014 CapEx and the mix between maintenance and growth?
James Rutledge: Absolutely, Al. The maintenance portion of that is still in that 130 plus range. Not too dissimilar from last year and the rest is clearly growth and the total we expect that $200 million plus the roughly $30 million on the incineration project.
Albert Leo Kaschalk – Wedbush Securities: Incineration spending, you’re just not clear as to timing of that, given regulatory or permitting or what is the hesitancy to include that in CapEx for the year?
James Rutledge: Permitting is we are beyond that point, but clearly as you build an incineration of this size – incineration capacity of this size and all the regulations around testing and so forth that this is going to take as Alan described earlier till late 2015 to finish. So, we’ll probably spend $75 million $80 million roughly about $80 on that project. It’s just tough to tell how much will be completed this year. So we are estimating about $30 million this year and then $50 million roughly next year. But it could be plus or minus $10 million from that.
Albert Leo Kaschalk – Wedbush Securities: Okay, and then a follow-up, we've all hammered you on the results and that in the context of lower guidance, but you are growing 2014 EBITDA from 2013. So even you provided some bridges on the – from the prior guidance to what you reported. But what about the bridge from 2013 to 2014? Where do you expect that strength to come?
James Rutledge: Well, I think, on the technical services side, you will continue to see strength. I think on the SK Environmental, you certainly will see growth there, particularly with cross-selling that we’ll be doing. We’ve kind of held the SK re-refinery business flattish. Although certainly, we will have an uptick from Evergreen because that was a drag on us in the fourth quarter and then it will be positive next year. So, that will certainly help. I think if you look at oil and gas, we talked about that being relatively flat to down and Industrial and Field Services although it will grow in Canadian dollars and U.S. dollar terms in will be flattish. So it does- the Canadian dollar impact that $100 million when you go from being at $97 million down to $90 million, it definitely has an impact there.
Albert Leo Kaschalk – Wedbush Securities: Okay, is that the segment, Jim, that where – the Canadian exposure, the currency exposure is or is it across the various…
James Rutledge: It’s across, in the Environmental business, I would say, we are probably about, if you look at Technical Services and the part of field service that’s in the industrial area, along with all of the SK, I would say that we are probably in the 10% to 15% range in Canada. And then when you look at industrial, we are roughly about, I would say 60% to 70% in Canada and in oil and gas, about the same.
Albert Leo Kaschalk – Wedbush Securities: Excellent, thank you. And thanks for all that.
James Rutledge: Thank you.
Operator : Our next question is a follow-up from the line of Larry Solow of CJS. Please go ahead with your question.
Larry Solow – CJS Securities: My other follow-ups answered, just one quickie. You mentioned, average equipment usage or utilization in Oil and Gas Services was, I think 46% in Q4 2013. Do have the number for the full year 2013? And then what was in 2012, maybe for the quarter or the year or both?
Alan McKim: Yes, I should also mention that in my script it did not match when I was talking through that it didn’t match the utilization here at 61% which was on Slide 11. Larry, just to that point, if you would think about the equipment, being that 100% utilization anticipating that certain amount of it is wrecked and being maintained, thinking about that at a 100%., we were operating at about 61%.
Larry Solow – CJS Securities: Got it.
Alan McKim: And so my comments earlier were sort of saying, hey, if the equipment was only going to be at $75 million, you are really at $46 million. So that’s really how we get to that.
Larry Solow – CJS Securities: Gotcha, got that.
Alan McKim: But I think, in general, this business as you know tails off in the second quarter and then really comes back on again and the late third quarter and fourth quarter. So, I don’t have the seasonal number here and I think I’d be guessing. Won't you Jim?
James Rutledge: Yes, I would say, for the whole year, it was probably slightly higher because we had a nice, if you look at full year, because in Q1 we were at a higher utilization rate in Q1. So that would have dropped it a little bit higher. But I also don’t have the exact figure.
Alan McKim: We’ll come back at our next call, Larry and have some more color on that if you like.
Larry Solow – CJS Securities: Yes, I mean, I was just curious you happen to have what Q4 of last year was just for comparative purposes or?
Alan McKim: Yes. These are some of those new metrics that we are trying to put together for investors and so we will follow-up with that as well.
Larry Solow – CJS Securities: Okay, great. Thanks.
James Rutledge: Thank you Larry
Operator : Thank you. Our final question is a follow-up from the line of Michael Hoffman with Wunderlich Securities. Please go ahead with your question.
Michael Hoffman – Wunderlich Securities: Thank you. Two different questions. What is your target percent of revenues for cash flow from operations in 2014?
James Rutledge: The average …
Michael Hoffman – Wunderlich Securities: The cash flow from operations.
James Rutledge: Michael, I am thinking it’s roughly about $400 million based upon what we’ve – the guidance that we’ve gave here. At least, $400 million I would say.
Michael Hoffman – Wunderlich Securities: Okay, and then, where at the mid-point there is an $85 million EBITDA adjustment in the guidance. How would you lay that out across the four quarters? Where that's coming out?
James Rutledge: But I am not trying to the $85 million of what you mean.
Michael Hoffman – Wunderlich Securities: So, you had $610 million to $640 million, now the mid-point is at $530 million-something, that's sort of – so your $525 million to $550 million, mid-point to mid-point it’s about an $85 million difference.
James Rutledge: Yes.
Michael Hoffman – Wunderlich Securities: So how much of that $85 million – how does that fall across the four quarters?
James Rutledge: I kind of get – you have to look at that margin and I don’t have numbers like that right in front of me as you know, we don’t guide all the quarters as you know. But I will tell you that I am expecting a margin improvement of a few 100 basis points going from Q1 to Q2 and then probably another at least a 100 basis points improvement gone to Q3 and then coming down, probably 100 basis points gone into Q4. I just don’t have the numbers in front of me, but that’s basically the flow it will be for the year.
Michael Hoffman – Wunderlich Securities: Okay. That helps too.
James Rutledge: All right. Great.
Michael Hoffman – Wunderlich Securities: Thanks.
Alan McKim: Thank you.
Operator: Thank you. And I will turn the floor back to management for closing comments.
Alan McKim: Okay, thanks everyone for joining us today. We appreciate your questions and your feedback and we look forward to seeing many of you at some of the upcoming conferences we have during March. So have a great day. Thank you.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.